Operator: [Foreign Language] Good morning. My name is Simon, and I will be your conference operator today. At this time, I would like to welcome everyone to the Cascades Third Quarter 2018 Financial Results Conference Call. All lines are currently in listen-only mode. After the speakers’ remarks, there will be a question-and-answer session. I will now pass the call to Jennifer Aitken, Director of Investor Relations for Cascades. Ms. Aitken, you may begin your conference.
Jennifer Aitken: Thank you, Simon. Good morning, everyone, and thank you for joining our third quarter 2018 financial results conference call. The speakers this morning will be Mario Plourde, President and CEO; Allan Hogg, CFO; Charles Malo, President and COO of the Containerboard Packaging Group; Luc Langevin, President and COO of the Specialty Products Group; and Jean Jobin, President and COO of the Tissue Papers Group. We will begin the call with discussions regarding our North American operations; Mario will then discuss results from Boxboard Europe, followed by some concluding remarks; after which we will begin the question period. Before I turn the call over to my colleagues, I would like to highlight that Reno de Medici's nine month report released on October 31 can be viewed on Reno's website. I would also note that certain statements made during this call will discuss historical and forward-looking matters. The accuracy of these statements is subject to risk factors that can have a material impact on actual results. These risks are listed in our public filings. These statements, the investor presentation and the press release also include data that are not measures of performance under IFRS. Please refer to our accompanying Q3 2018 investor presentation for details. This presentation, along with our third quarter press release, can be found in the Investors section of our website. I would like to remind the media and Internet users that they are in listen-only mode and can therefore only listen to the call. If you have any questions, please feel free to call us after the session. I will now turn the call over to our CEO, Mario.
Mario Plourde: Thank you, Jennifer, and good morning everyone. We released solid third quarter 2018 results earlier this morning. Earnings per share on an adjusted basis reached $0.40 compared to $0.20 in 2017 and $0.30 in the previous quarter. EBITDA of $137 million increased 29% over the last year and 2% versus the second quarter. On a consolidated basis, the EBITDA margin reached 11.7% in Q3. These results were largely driven by a very strong performance from our Containerboard segment, which generated a 63% increase in adjusted EBITDA year-over-year and 11% compared to Q2. Our European Boxboard segment also contributed to the improved result year-over-year. Sequential results in this segment decreased, which is in line with the usual lower seasonal demands level most notably during the holiday month of August. Third quarter results for this Specialty Products segment decreased marginally from last year, largely due to the variation of recycled paper prices year-over-year. However, as expected, results improved in this segment compared to Q2. Finally, the performance of the Tissue segment continue to be impacted by increases in raw material prices and higher transportation costs on both year-over-year and sequential basis. While market dynamics in this segment remain challenging, our top-line growth speaks to the underlying strength of our sales platform. On the KPI front, third quarter shipments decreased by 4% from Q2. This reflected lower shipments level in both Containerboard and Europe and a marginal increase in shipment levels in Tissue. Our third quarter capacity utilization rate of 91% was 6% below Q2, driven by decreases in both Containerboard and European Boxboard. The 1% decrease compared to the prior year levels was entirely due to the European Boxboard segment. On the raw materials side, the average Q3 index price for OCC brown paper grades fell by a significant 58% year-over-year and decreased by 4% compared to Q2. Conversely, the average price of the solid office paper white recycle grades, which makes up for a large part of the raw material usage by our Tissue business, increased by 25% year-over-year and 9% compared to Q2. The performance of our Tissues segment was further impacted by virgin pulp price, which increased both sequentially and compared to the prior year levels. Supported by the solid results in – of the last two quarter, our financial metrics continue to improve despite more intense capital spending. I will now pass the call over to Allan who will discuss the main highlight of our third quarter financial performance. Allan?
Allan Hogg: Yes, thank you, Mario and good morning everyone. So I will begin with sales on Page 10 and 11 of our third quarter call presentation, which can be found in the Investors section of our website as well. Please note that all reconciliation of non-IFRS measures are also available on our website. On a year-over-year basis, third quarter sales increased by $69 million or 6%. This reflects improvements in pricing and sales mix in all of our segments with the exception of a marginal decrease in Europe. Recent acquisitions in Containerboard and Boxboard Europe segments improved volumes in Tissue in a more favorable foreign exchange rate for all our business segments were also positive factors. Mitigating this was a lower contribution from our recovery and recycling activities following OCC price decreases. Sequentially, Q3 sales decreased by a marginal $7 million or 1%. This was largely driven by lower volumes in Containerboard and Boxboard Europe, the effects of which offset the improvements in the sales mix and price and again a more favorable foreign exchange rate. Moving now to operating income and adjusted EBITDA. As highlighted on Slide 12, Q3 operating income was $27 million above last year. Adjusted EBITDA of $137 million, increased $31 million from prior year levels. My colleagues will provide more details regarding performances of their respective segments. On a consolidated basis, results benefit from a stronger performance from our Containerboard and European Boxboard segments, these were partially offset by lower contribution from the Tissue segment and a marginally lower contribution from Specialty Products. The change in depreciation expense reflects business acquisitions and new equipment startups in the past year. Sequentially, Q3 adjusted EBITDA increased by $3 million. This was largely driven by Containerboard and also from a sequential improvement in Specialty Products. These were partially offset by a decrease in Boxboard Europe related to the usual seasonal softness in volumes. A smaller sequential decrease was also registered in Tissue due largely to higher raw material costs. Slide 14 and 15 of the presentation illustrates the year-over-year and sequential volumes of our Q3 earnings per share and the details of the specific items that affected our quarterly results. As reported earnings per share totaled $0.38 in the third quarter compared to the report earnings per share of $0.35 last year, which included a fair value revaluation gain on investments and the foreign exchange gain on our long-term debt and financial instruments. On an adjusted basis, our third quarter EPS increased by $0.20 year-over-year to $0.40 per share. As was the case in recent quarters, net earnings attributable to non-controlling interests in Greenpac and Reno de Medici were higher compared to last year thus reducing our share of the net results. On a sequential basis, third quarter adjusted earnings per share increased by $0.10 as a result of a lower effective tax rate and lower non-controlling interests resulting from a lower contribution from our European Boxboard segments. Slide 16 and 17 of the presentation illustrate the specific items recorded during the quarter, impacting operating income and net earnings. Cash flow from operation increased by $31 million year-over-year to $92 million. Adjusted free cash flow decreased by $54 million compared to 2017 as a result of higher CapEx level this year. For the first nine months of 2018, our adjusted free cash flow stands positive at $39 million. Moving now to our debt reconciliation on Page 19, our net debt decreased marginally in Q3 as a stronger cash flow from operations, lower working capital requirements and a more favorable FX rate on our U.S. denominated debt more than offset higher capital investments and higher amounts allocated to share repurchases and payment of dividends including those paid to non-controlling interests. The main CapEx realized in the third quarter are related to the end of the construction of the Piscataway converting plant in New Jersey, the start of the modernization plan in Tissue and the acquisition of the White Birch Bear Island assets in Virginia. On a pro forma basis to include our recent business acquisitions, our net debt leverage ratio stood at 3.2 times at the end of the third quarter, a slight improvement from 3.5x at the end of the second quarter. For additional details regarding our third quarter performance on a segmented basis, please refer to Slides 21 through 26, while our near-term outlook is detailed on Slide 28. Thank you and I will now pass the call to Charles to discuss the third quarter results of our Containerboard Packaging Group.
Charles Malo: Good morning everyone and thank you Allan. On a sequencer basis, the third quarter shipments reached 370,000 short tons in the Containerboard Group, which represents the 4% decrease. The paper shipments to external customers decreased by 14,000 short tons from the previous quarter mainly due to maintenance downtime, which reflects 8% decrease in our operating rate during Q3. Our integration rate remained stable at 56%, when including shipments to Greenpac partners and when including paper sold to are associated companies, our Q3 integration rate totaled 78% up from 76% in the previous quarter. On the converting side, shipments decreased by 1% sequentially in NSF, this outperformed a 2% decrease reporter from the U.S. market and underperformed the Canadian market, which remained stable sequentially. On the pricing front, our average selling price increased by $44 per ton in Canadian dollars or 4% percent on a sequential basis. This is the results of the full impact of the US$50 per short ton price increase we began implementing during the second quarter. On a segmented basis, our average selling price for Containerboard increased by CAD 43 per short ton in Canadian dollars while our corrugated product average selling price increased by CAD 15 per short ton in Canadian dollar. The 1% depreciation of the Canadian dollar had a positive impact on an average selling price during the quarter. A favorable product sales mix also positively impacted our average selling price. During the third quarter, the Containerboard Group generated an EBITDA of $117 million, which represents margins of 25%. This compares to margins of 22% in the second quarter and 17% in the same quarter of last year. Our improved sequential results were largely driven by the higher selling price, which contributed to an additional $12 million to profitability. Lower personnel costs more – specifically repair and maintenance and labor cost more than offset the impact from higher transportation costs in addition to the depreciation of the Canadian dollar. These benefits also more than offset of the impact of lower volume and higher energy costs. Before discussing our short term outlook, let me briefly touch on one element. Over the past few months, several new capacity announcements have been confirmed for the North American Containerboard market. From our perspective, we continue to advance our Bear Island conversion project and look forward to providing more details once the project engineering has analyzed and approved. In tandem with this, we continue to closely monitor market dynamics. Finally, with regards to the short term outlook, we expect the fourth quarter demand to follow the usual trends. Despite these lower anticipated levels, we expect results to benefit from improved operating rates in our containerboard mills despite plant maintenance downtime. Our results will continue to benefit from the favorable OCC pricing additionally will benefit from the US$50 short ton price increase implemented in the second quarter in our manufacturing segment and the current spending 8% box price increase that was fully implemented during Q3. Thank you for your attention and I will now ask Mario to provide you with an overview of our Boxboard activity in Europe. Mario?
Mario Plourde: Thank you, Charles. The European Boxboard operation generated good results in Q3. Sales increased 4% compared to the prior year levels driven by a more favorable exchange rate, the contribution of the newly acquired PAC Service and improvement in pricing and sales mix. On a year-over-year basis, the average selling price and recycled Boxboard activities increased by EUR 6 or 1%, while the average selling price in virgin boxboard activities increased by 50 EUR or 7%. These benefits were partially offset by slightly softer demands, which is in part a reflection of the elevated demand levels in the third quarter of last year. EBITDA increased 36% from a comparable period last year, driven by higher selling prices and lower raw material costs partially offset by higher energy costs. On a sequential basis, the 9.5% decrease in sales in Canadian dollar brings attention to the sequential decrease in demand and production volumes come in during the summer holiday period most notably August. Adjusted EBITDA was 35% from the previous quarter, driven by higher white fiber and energy costs and lower seasonal volumes. In the near-term outlook, we expect demand to remain at a good level as we do not expect prices for recycled fiber to rise with the exception of white recycle and virgin fibers. I will now pass the call over to Luc, who will provide you with the overview performance of our Specialty Products.
Luc Langevin: Thank you, Mario. Good morning. During the third quarter, the Specialty Products Group sales were essentially stable at $164 million sequentially. The positive impact of higher volumes and favorable exchange rate on our packaging activities were offset by decreased revenues in our recovery activities. These were primarily affected by lower average fiber prices and seasonal reductions in recycled paper generation. Despite this stable revenue, our EBITDA stood at $14 million in Q3 compared to $9 millions during Q2 as our EBITDA margins increased from 5% to 9%. Looking specifically at the results at each of our segments, our industrial packaging segments EBITDA improved mostly due to favorable spreads, a weaker Canadian dollar and higher volumes in our markets. Please also note that a downtime related to a major equipment upgrade at our URB mill dampened our results during the previous quarter. The EBITDA of our consumer product packaging segments likely deteriorated during the last quarter, although we record a lower fixed and maintenance costs, these weren’t enough to fully offset the negative impact of the lower volumes recorded in our rigid plastic sub segments. We experienced a minimal price index movement on polyethylene and polystyrene during the quarter, but a more significant $0.07 per pound increase on polyester index impacted our spread. Margins will be rebuilt with the price mechanism that we have in place. Finally, the financial results of the recovery and recycling segment continued to improve. The weaker Canadian dollar at the end of the quarter as well as better spreads were the major positive contributors to this performance. Previous initiatives undertaken to rebuild margins, led us to this more positive trend. More stable market prices and the improved raw material also supporting these efforts. Regarding our near-term outlook, we expect our recovery and recycling activities to continue to show stable results. The OTC market is well balanced with increased seasonal generation supporting a steady domestic consumption. Demand also remains strong for our high-end mechanical grade, but we are strategically managing our requirements and exploring substitutes for our molded pop-up activities. Our white paper inventors are at needed level and the current supply meets our internal demand requirements. As we have observed a recent relative softening in market condition in southeast. Finally, the virgin pulp market in North America remains tight despite an easement in China pulp demand over the last few months. The unexpected downtime at North American producers have contributed to this consistent market pressure. For packaging products, the fourth quarter seasonality is generally weaker, but the good performance is expected from our URB activities should help to mitigate this impact. As such we expect stable results for the group during the last quarter of 2018. Thank you for your attention. I will now ask Jean to present the results of the Tissue Paper Group.
Jean Jobin: Thank you, Luc. Good morning everyone. As was the case in Q2, the Tissue Group faced very difficult market conditions in the third quarter. While volumes increased year-over-year, that cost of white recycled fibers, virgin fiber and transportation continues to increase putting significant pressure on our overall profitability. We also faced Hurricane Florence in the third quarter, which forced us to shutdown two of our facilities for six days. I'm happy to report that these were preventive measure and neither facility suffered any significant long-term damage. More importantly, our employees were all fine. Moving now to our third quarter results. Our operation delivered an adjusted EBITDA of $5 million, which translates into a margin of 2% and compares to the $24 million or 7% that we generated in Q3 last year. On a sequential basis performance were also down from our second quarter adjusted EBITDA of $7 million and margin of 2%. On the positive side, total shipment increased by 4% year-over-year. Shipments of converted product increased by 8% due to the higher demand in our targeted market segments. Shipments in the parent rolls, however, decreased by 4% compared to last year. This was mainly due to Hurricane Florence and to our successful effort to reduce inventory level last year. On a sequential basis, overall shipment increased by 1%. Shipment in our parent roll sub-segment decreased by 10% while our converted product shipment increased by 4% despite the difficulties presented as a result of the hurricane. In terms of pricing, the average selling price increased by 7% year-over-year. This was in part due to previously announced price increases, the higher proportion of converted products in our overall shipments and the depreciation of the Canadian dollar. On a sequential basis, our quarterly average selling price increased by 5% for the same reason. On an operational basis, the higher raw material costs negatively impacted our results by $14 million year-over-year, specifically the higher white recycled fiber and virgin of costs negatively impacted result by $19 million, while the lower brown fibre costs offset just by 5 million. This was driven by year-over-year increase of 21% in hardwood pulp, 24% in softwood while the recycled white fiber SLP fiber increased by 25% from last year levels. Sequentially, the unfavorable impact of change in raw material prices and the negative of $5 million on a net basis. On the transportation side, rising costs negatively impacted our overall result by $8 million year-over-year. As we have mentioned in the past, the combination of the current North American transportation network challenges and fuel cost increases are the driving factor behind the significant increase in cost level. And given that our higher proportion of our business is in the U.S. market. The impact of these factors on our overall logistic is greater than forecasted of other business segment. On a sequential basis, the increase in these costs impacted our results by $2 million. I would also note that Hurricane Florence required us to manage our distribution network in a way that would avoid supply disruption. These efforts put additional pressure on our overall transportation costs. Touching very briefly on our west coast converting plant, I'm pleased to note that we continue to make good progress in terms of sales penetration. More than 50% of the facility – overall capacity has been secured and we continue to improve monthly. As you all know, the current reality of rising raw material prices and increasing transfer costs have put a lot of pressure on margins in response we have announced the following additional price increases in Q3, an increase of up to 7% in the away-from-home segment across North America, effective December 1st. Up to 8% in the U.S. consumer product business effective November 25th. And finally effective November 1st, we have announced an increase on jumbo roll will affect all virgin pulp grades by $0.75 per ton, recycled white grade by $35 per ton and brown recycled by $25 per ton. These announced price increases are in addition to the one that have been announced previously. As we have previously highlighted contract terms means that the full implementation of these price increase stakes roughly six months. Looking forward, we expect condition will remain challenging. Unfortunately, we anticipate that raw materials and transport costs will both remain high. However, recently announced price increases will bring a positive momentum. That being said, we will continue to focus on our innovation and strategic initiatives to add value for our customers, example of which were launch at the ISSC conference last week and has been very well received by our customers. We will also continue to dedicate resources to offset rising costs by working on pulp and transportation optimization, manufacturing productivity levels and continuing to ramp-up our West Coast market development. Thank you. And I will now turn the call back to Mario for the conclusion.
Mario Plourde: Thank you, Jean. Taking into account the interim seasonality of the fourth quarter, we expect results to continue to reflect solid market fundamentals in our Containerboard packaging business. Market pricing is stable in this sector while costs of raw material most notably OCC remain low, while market dynamics for Containerboard segment remained healthy, the Tissue industry is facing a period of challenging business fundamentals. It is expected that the rollout of the new capacity, higher raw material prices and increased operation cost will continue to dampen performance over the coming quarters. Furthermore, result will reflect the seasonally softer demand levels come in to the time of year. And in spite of this, we expect stable result from Tissue for the fourth quarter, largely due to the implementation of pricing increases announced in several sub-segment. As we have highlighted in the past, we are focused on successfully carrying out strategic investments to modernize our Tissue platform to reinforce our market positioning and reduce our production costs. Fourth quarter result in European Boxboard are expected to remain steady and reflect improved volume following the seasonal softener – softness of the third quarter in addition to the contribution of the newly acquired Barcelona Cartonboard as of November 1st. Market condition remains healthy in Europe in spite of a slightly lower order inflow and backlog compared to 2017. Reno continues to manage market dynamic by being strategic on its approach to sales. Finally, performance from the Specialty Products segment is expected to remain stable sequentially. Before opening the call to question, let me briefly touch on some of the recent news regarding future capacity addition in the Containerboard segment. Recent volatility in the stock prices and many Containerboard players suggests that this has led to market concern about demand and supply balance in the Containerboard market in the long-term. While we will not speculate on what others company will or will not do currently available public data implies a well balanced market for the medium term. Giving this, we expect Containerboard to continue to be an important driver for our business performance over this timeframe. On that note, I will now be happy to answer your questions. Operator?
Operator: [Foreign Language] Thank you. [Operator Instructions] Your first question comes from the line of Roshni Luthra with CIBC Capital Markets. Your line is open.
Roshni Luthra: Yeah. Hi, good morning.
Jennifer Aitken: Good morning.
Roshni Luthra: John, I have a question for you first. There's been report in the past week or so that the Fairmont being pulp mill, has shifted from using sorted office paper to OCC or mix paper. Are you expecting much relief on your SOP cost from this shift?
Luc Langevin: This is Luc. If you don't mind, I will answer your questions.
Roshni Luthra: Sure.
Luc Langevin: We heard – although we haven't seen yet any confirmation, there's a strong rumor in the market that they work with the white paper business to get into the mixed paper and OCC business by early next year. And it sounds like some of the softness that we've seen in the Southeast over the last few weeks would already be a result of these rumors in the market. You probably observe that the price of SOP went down last week in the southeast by $15.
Roshni Luthra: Great, thanks. And then Charles, I think – so with WestRock having closed this acquisition of KapStone, do you see any opportunities to win some business from customers or it’s basically buying from both, if they want to maintain a diversified supplier base?
Charles Malo: We were always open for business. So, we will keep our ears and eyes open. The opportunities are there when two groups merger like this. So, we will be close to it to be ready to serve these customers.
Roshni Luthra: Okay, thanks. And just one last question, Allan maybe you can help with this one. Can you elaborate on your CapEx plans for 2019? Are there any projects you're considering to further booster integration rates on Tissue and Containerboard?
Allan Hogg: Well, as we said in the past calls and when we were on the road that – it will be the continuity of the Tissue plan to modernize the asset and also depending on the outcome of the Bear Island project. We might see some dollars to that next year, but it will be in the same range as we said this year. So – for now that – that's what we can say for now.
Roshni Luthra: Okay, great. Thanks for providing that. Good luck for the next quarter. Thank you.
Allan Hogg: Thank you.
Mario Plourde : Thank you.
Operator: Your next question comes from the line of Sean Steuart with TD Securities. Your line is open.
Sean Steuart: Thanks, good morning. A couple of questions. On a Containerboard price realization, I appreciate that the Q1 price hike for board and boxes was fully realized during Q3. Is there any follow on tailwind in Q4? Having it in place for the full quarter? And if so, can you quantify that?
Allan Hogg: The difference between the Q4 and Q3 to be expected is the – as we explain on the converting side, on the box side, there is a lag of about four to five months to put the increase in. So what we will see is the full impact. So the ramping up of the price increase will see the full benefits in Q4.
Sean Steuart: Okay, thanks for that. And then a follow on question with respect to CapEx. You gave us some sense of 2019 spending pretty flat year-over-year. Can you speak to your longer term initiatives to optimize your Tissue business? And how much incremental spending do you guys envision beyond 2019 on the discretionary side for your Tissue business to get margins to where you think that need to be?
Allan Hogg: Well, we don't go further than 2020 as it is today. The envelope that we are looking now is around the $350 million per year and this envelope will be distributed between the modernization that we have to do in the containerboard and improve our integration rate as it is for Tissue. We have not given any specific of how the envelope is split between the Tissue and the Containerboard, but the majority of the CapEx would be towards those two groups.
Sean Steuart: Okay. That's all I have for now. Thank you.
Operator: Your next question comes from the line of Charan Sanghera with RBC Capital Markets. Your line is open.
Charan Sanghera : Hi, good morning guys. Just a quick question on the Barcelona Cartonboard. It seems like Reno presentation would have it pegged at EUR 8 million EBITDA impact. Is there any room for improvement with that? Like would did that take into account recent price increases in Europe?
Allan Hogg: There will be a little bit of a synergy that we can capture from this acquisition, mainly with the sales between the Spain and Italian market and a little bit with the grades that we can switch between the different facilities. So it's not huge synergy, but yes, there are some synergies that we can capture in this acquisition.
Charan Sanghera : Okay. And just keeping on the – on Reno with – its valuation on an equity basis for you guys being pretty significant, but it doesn't seem to be really kind of recognized by investors in our view. And have you thought – has it changed your view on maybe potentially divesting of this business given that’s seeing probably multi-year best conditions for that market?
Allan Hogg: No, we have not changed our mind as we speak. And most of our focus right now will be to integrate the volume we just acquired.
Charan Sanghera : Okay, all right, thank you. That’s it for me.
Allan Hogg: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Keith Howlett with Desjardins Securities. Your line is open.
Keith Howlett : Yeah, I am wondering if you could update how this Scappoose converting plant is going?
Jean Jobin: Like I said earlier, Keith, the Scappoose plant is doing better every month. So we see that we are gaining market share over there, so we're really happy with that.
Keith Howlett : And just a question on freight in Tissue, do you sell freight included most of the time? And is there any ability of the industry to change that? Or is there – are there – what sort of mechanisms are open to you to try and bridge the issue of freight and tissue in this sort of market?
Jean Jobin: To answer the first part of your question, yes. Most of our case, it is a different price that we have. So we have absorbed the extra freight and this is how it works in our industry. The second part is mechanism available right now and we're working on multiple solutions right now to get better. There is nothing like being close to your customer and at this point we ship maybe a bit too long, but we're working on different option to reduce that in the future.
Keith Howlett : Thank you.
Operator: There are no further questions at this time. Mr. Plourde, please continue.
Mario Plourde: Yeah, thank you everyone for being on the line and we're looking forward to talk to you in Q4. Have a good day. Thank you.
Operator: [Foreign Language] Thank you. Ladies and gentlemen, this concludes today's conference call. You may now disconnect.